Operator: Good day ladies and gentleman and welcome to the Third Quarter 2007, Amylin Pharmaceuticals' Earnings Call. My name is Maria and I will be your audio coordinator for today. At this time all participants are in listen-only mode, and we will be facilitating a question-and-answer session towards the end of today's conference. (Operator Instructions). I would now like to turn the presentation over to Ms. Alice Izzo, Executive Director of Corporate Affairs. Please proceed.
Alice Izzo: Good afternoon. Welcome to Amylin Pharmaceuticals quarterly update conference call. Today's discussion will contain forward-looking statements that involve risks and uncertainties. These risks and uncertainties are outlined in today's press release and in our recent filings with the Securities and Exchange Commission. Our actual results could differ materially from what is discussed in today's call. Let me introduce the other members of the Amylin management team here today; Daniel Bradbury, President and Chief Executive Officer; Mark Foletta, Senior Vice President, Finance, and Chief Financial Officer; and Orville Kolterman, Senior Vice President, Clinical and Regulatory Affairs. I will now turn things over to Dan Bradbury.
Daniel Bradbury: Thanks Alice. Good afternoon and thank you for joining us today. It has been a busy quarter and we have seen strong execution across our business. Our two first-in-class medicines BYETTA and SYMLIN continue to experience increased adoption in the diabetes community. During the quarter, we gained approval for the SymlinPen, which offers patients who are treating their diabetes with SYMLIN, the potential for improvements and convenience and accuracy. We've also called the new leader in increasing brand awareness for BYETTA by initiating a pilot consumer education program that provides information to patients through print, television and the internet. Additionally, we are on schedule and making great progress with the construction of our Ohio facility with over a 120 employees now in place to continue preparations for eventual commercial manufacturing of exenatide LAR, our once-weekly version of BYETTA. We also had a successful European association for the study of diabetes meeting in September, where joined our global partner Eli Lilly and Company, who had a major commercial presence at the first major European Congress after the EU launch of BYETTA in the second quarter of this year. While at EASD, we presented compelling clinical and pre-clinical data. Had many discussions with leading clinicians, and continue to build on positive relationships with the diabetes community. We are now looking forward to an exciting fourth quarter, when we expect clinical data from key pipeline programs. Before I get into more detailed discussion of recent activities, I will turn things over to Mark Foletta to review our financial results released earlier today.
Mark Foletta: Thank you, Dan, and good afternoon. Earlier this afternoon, we announced our financial results for the third quarter of 2007. We reported total revenue of $190 million, including net product sales of $177.4 million. That is made up of a $161.1 million for BYETTA and $16.3 million for SYMLIN, resulting in third quarter growth in net product sales of over 28%, compared to the third quarter of 2006 and growth of 6% over the second quarter of 2007. Our revenue under collaborative agreements was $12.6 million, compared to $8.2 million for the third quarter of last year. Cost of goods sold was $13.8 million, reflecting a gross margin of approximately 92%. This compares to cost of goods sold of $14.5 million for the third quarter of 2006 and a gross margin of approximately 90%. Selling, general and administrative expenses for the third quarter of 2007 increased to $87.7 million from $69 million for the third quarter of 2006. This increase was driven by higher promotional expenses for BYETTA and SYMLIN, increased expenses associated with our expanded field force, and increased business infrastructure to support our growth. Research and development expenses increased to $61.5 million for the third quarter of 2007 compared to $53.7 million for the same period in 2006. The increase primarily reflects increased development expense for Exenatide LAR and ongoing costs associated with the advancement of our obesity development programs. Eli Lilly share of the gross margin for BYETTA, which we referred to as collaborative profit sharing, was $75 million for the third quarter of 2007, compared to $57 million for the third quarter of 2006. And we reported a net loss for the quarter of $39.8 million or $0.30 per share compared to a net loss of $46.1 million, or $0.36 per share for the third quarter of 2006. The net loss for the quarter ended September 30, 2006, included a $7.9 million non-operating charge related to a make-whole payment associated with the early redemption of convertible senior debt in August of last year. At the end of the third quarter, we held over $1 billion of cash, cash equivalents, and short term investments. I will now quickly review top and bottom-line results for the nine months that ended on September 30, 2007. Total revenue was $559 million, including $506.7 million of net product sales, and revenue under collaborative agreements of $52.2 million. This compares to total revenue of $347.5 in 2006. Net product sales for 2007 consist of $459.7 million for BYETTA and $47 million for SYMLIN. Our net loss for the nine month period was $134.2 million or $1.02 per share, compared to $160.4 million or $1.33 per share in 2006. I will now move to highlight some information regarding our view of the key trends and assumptions for the remainder of 2007. As a reminder, we've included estimates for non-cash stock-based compensation in the expense categories. Based upon our assessment of recent growth trends, as well as our ongoing sales and marketing initiatives for BYETTA and SYMLIN, we're adjusting our previous guidance for total revenues in 2007 to a range of $760 million to $775 million, from in excess of $800 million. Our total revenue guidance includes a tightening of our previous guidance for collaborate revenue from $60 million to $70 million, to $65 million to $70 million. With regard to expenses, we expect that our selling, general and administrative expenses for 2007 will be at the low-end of our previous guidance of $375 million to $400 million. Increased spending is expected in the fourth quarter to reach this annual guidance and includes our recently initiated consumer education program for BYETTA, expenses for our ongoing sales and marketing efforts, and costs associated with our Ohio operation and business infrastructure to support this growth. This guidance also includes approximately $35 million of stock based compensation expense. We expect that our research and development expenses for 2007 will be towards the midpoint of our previous range of $250 million to $275 million. This guidance includes approximately $25 million of stock based compensation expense and reflects the continued support of both BYETTA and SYMLIN, investment in Exenatide LAR or obesity pipeline and other research activities. Finally, I would like to remind you that our 2007 plan in this guidance contemplates an improvement in our operating results compared to 2006. As you know we are managing a very dynamic business. Our revised guidance reflects our continued commitment to prudently manage our expenses in line with our revenue growth while continuing to make appropriate investments to enable both growth in revenue and pipeline opportunities with an overall goal of continuing to enhance shareholder value. I will now turn things back to Dan for an update on recent business activities.
Daniel Bradbury: Thanks Mark. First off I would like to give you a commercial update on BYETTA, our first in class diabetes medicine for patients with Type II diabetes. We have high expectations for the value BYETTA can bring to patients. BYETTA revenue grew 6% quarter-over-quarter and we have seen sustained prescription growth. We continue to reinforce our efforts to see that BYETTA benefits as many patients as possible. We are striving to change ingrained behavior by introducing the first and only incretin mimetic, an injectable therapy in an oral market. And we're focused on the long-term and on bringing innovation to a large and growing chronic disease market. To do this we have an integrated program to further increase adoption of BYETTA including enhanced messaging, sustained execution by our sales force, continued medical education efforts and optimized sampling program, a strong commitment to facilitating reimbursement and a pilot consumer education initiative. Here are some of the specific steps we are taking. We continue to support BYETTA with new clinical data including information presented at the recent European Association for the study of diabetes meeting. One compelling study showed that with similar glycemic improvement, one year of exenatide treatment improved indices of beta cell function compared to insulin glargine, would reduces the risk of hypoglycemia and weight loss instead of weight gain. This supplements three previous studies showing better clinical outcomes with BYETTA compared to insulin and these results will be part of our sustained commitment to medical education activities. As we continue building a better understanding of the BYETTA profile we have more clearly emphasized the key attribute of BYETTA, improved glucose control. Our market research indicates that this is now the first message healthcare provider's recall, which is significant because glucose control is considered the most important attribute for a diabetes product. We believe continued expansion of this new treatment paradigm is depended on understanding the true benefit of BYETTA to patient's durable glycemic control, no increased risk of hypoglycemia, and weight loss. Moving on to reimbursement, a critical part of our continued market success is patient access to our therapies. We continue to sustain our favorable formulary placement and have approximately 85% of managed care patients with access of Tier 2 or Tier 3 with nearly 75% at Tier 2 access. Additionally, we have recently improved access to BYETTA for Medicare Part D and Medicaid patients. I am proud to say our success is in large part because our managed-care liaisons have made a strong contribution to improve understanding of BYETTA and SYMLIN, as evidenced by Healthcare Strategies Group ranking them the best in the industry when it comes to their clinical expertise. Now, I would like to talk about some of our recently initiated consumer education efforts. With two years of market experience, primarily focused on physicians [in pairs], we are expanding our education efforts to patients and consumers. We have just started a patient support program to maximize the clinical benefit for new patients and ensure patient adherence to therapy. We feel this support is helpful to patients, who may be on their first injectable therapy, as well as the primary care providers, who may be less accustomed to treating patients with an injectable product earlier in the disease cycle. Additionally, we believe the consumers who have Type II diabetes are seeking new information to help with their therapy. The time is right to pilot an integrated program that provides information to consumers through print, television and the internet to introduce them to BYETTA. So at the end of the third quarter, we initiated a pilot program that encourages adults, who feel they may need better blood glucose control to ask their doctor, if BYETTA is right for them. We hope this increased awareness will help many patients take better control of their blood glucose levels and prompt them to have more informed conversations with their healthcare providers. The sum of our marketing efforts resulted in a continued quarter-over-quarter growth in prescriptions and approximately 20% growth over the third quarter of last year. Additionally, market share growth for both new and total prescriptions in the third quarter resulted in an all time high for the brand in total prescriptions. We also reached an all time high in physician adoption of BYETTA. However, I would like to emphasize, that we believe there remains significant room for sustained growth with our existing indications for this product. Now I would like to move on to expansion opportunities for BYETTA, both in the US and elsewhere. Our clinical study of BYETTA monotherapy use in patients early in the continuum of care for Type II diabetes is expected to be completed later this quarter. We expect to report results later this year and for early next year and we plan to file for an expanded indication in the first half of 2008. Also with our global partner Lilly we remain on track to launch BYETTA in over 30 countries by the end of the year. In the third quarter alone Lilly launched BYETTA in several markets outside the US including Russia, Columbia, Chile, the Philippines, Australia and New Zealand. We are excited to bring the benefits of BYETTA to patients on a global scale. Now let's move onto SYMLIN, our first-in-class diabetes medicine for patients with Type II and Type I diabetes who use meal time insulin. In the third quarter SYMLIN prescriptions continued to grow, though at a lower rate quarter-over-quarter. However we are pleased to announce the approval of SYMLIN Pen 60 and SYMLIN Pen 120 during the quarter. We believe these will be an important addition to the SYMLIN portfolio to enable future growth offering patients who are treating their diabetes with SYMLIN, and for potential improvement in convenience and accuracy. We are in the midst of the manufacturing process and field activities to support and end of year launch of these pens. Moving on to other SYMLIN news. We were disappointed to receive a not approvable letter from the FDA for the use of SYMLIN with basal insulin in patients with Type II diabetes. As a reminder SYMLIN is currently indicated to use with mealtime insulin and we were hoping that the expanded indication of SYMLIN use with basal insulin alone would be approved. The FDA felt that SYMLIN did not demonstrate adequate efficacy for approval based on A1C alone in the 16-week study we submitted. However, the primary endpoint in the placebo-controlled study, as originally agreed with the FDA, was a composite endpoint that included A1C as one component, but also included effects on postprandial glucose, weight, and severe hypoglycemia. And just to be clear, SYMLIN did demonstrate a significant difference in the composite endpoint. So, while this is not the news we had hoped for, we will be working with the FDA to understand further requirements needed to gain approval in the future. We will continue supporting SYMLIN in the marketplace and we believe that the introduction of the SymlinPen enhances SYMLIN's opportunity in an already large and growing market of 1.3 million patients currently using mealtime insulin. With that, I will now turn things over to Orville for an update on clinical aspects of our marketed products and our upcoming research and development milestones. Orville?
Orville Kolterman: Thank you, Dan, and good afternoon. As the lead of Regulatory Affairs in Amylin, I would like to begin by commenting on our commitment to keep patient safety first. A commitment shared by our Lilly colleagues working with us on the BYETTA program. An important aspect of that commitment to patient safety is the timely fulfillment of our post-approval commitments for both SYMLIN and BYETTA. In terms of SYMLIN, there are two post-approval commitments. The first is an observational study focused on evaluating the safety of SYMLIN as it is used in the marketplace. The focus of the study is insulin-induced severe hypoglycemia. During the development program this was identified as a risk occurring primarily in patients with Type 1 diabetes who are using mealtime insulin therapy. This increased risk is limited primarily to the first three months of therapy, which we have referred to as the initiation phase of therapy. Amylin committed to enroll 1,250 patients in this study and follow them through their initial six months of therapy. As of last week, this study is fully enrolled, which will allow us to complete the study and report to the FDA within the originally agreed timeframe. The data to-date demonstrate that the method of use outlined in the SYMLIN package insert allows for the safe initiation of therapy, plus enabling these patients who have an absolute requirement for insulin therapy, to utilize SYMLIN to achieve better management of their disease. The second post-approval commitment for SYMLIN was a small pediatric pharmacokinetic study to evaluate the pharmacokinetic profile and in turn identify an appropriate dose for use in the pediatric population. That study has been completed and the report to the FDA is under preparation. In addition, we have diligently monitored all reported adverse events from the marketplace and reported them to the FDA in periodic safety updates. To-date, no new safety concerns have been observed during SYMLIN therapy. Turning to BYETTA, Amylin and Lilly committed to conduct a similar pediatric pharmacokinetic study so that's done for SYMLIN to support BYETTA in the marketplace. This study has been completed and submitted to the FDA. A second commitment involved a drug-drug interaction study between BYETTA and oral contraceptives. That study has also been completed and submitted to the agency. A committee was also made to implement a pregnancy registry to track the outcomes of pregnancy in females of child-bearing age using BYETTA. We are in the final stages of building the infrastructure for that study, and qualifying patients will began to be entered before the end of 2007. Similar to our activities for SYMLIN, we've diligently monitored all reports of adverse events in the marketplace as a cornerstone of our commitment to patient safety. As with SYMLIN, these adverse events have been summarized and reported to the FDA in periodic safety reports. Since, market introduction in June of 2005, over 700,000 patients have been treated with BYETTA. During this monitoring, cases of pancreatitis, an inflammatory condition of the pancreas were noted. As we have shared publicly on previous occasions, these cases have been investigated in detail employing both the expertise internal to Amylin and our alliance partner Lilly, and panels of independent academic and clinical experts. To-date, we have not identified a causal relationship between the occurrence of pancreatitis, a condition which appears to occur with increased frequency in patients with Type 2 diabetes and the use of BYETTA. While that causal relationship has not been firmly established, an association is suspected. Although, the data regarding pancreatitis, including the event rate of pancreatitis, has not changed with increased patient exposure. Dialogue with the FDA, which has been ongoing since the initial observations of pancreatitis led to an agreement that the label language related to this matter should be updated to assist prescribing physicians and patients in distinguishing between the expected tolerability issues associated with BYETTA use, and to the potential onset of acute pancreatitis Yesterday the FDA published a Healthcare Professional Sheet on their website indicating that the BYETTA label is being updated to include additional guidance regarding symptoms of severe and persistent abdominal pain, which may be accompanied by vomiting that may been indicative of acute pancreatitis with general guidance for the prudent management of this condition. This information is being moved for [crossing sections] of the package insert, and a Dear Healthcare Professional letter will be circulated in the near future by Amylin and Lilly to highlight these observations to prescribing physicians in an attempt to ensure that patients with persistent and serve abdominal pain, especially when associated with vomiting, receive prompt medical attention. These communications will also be shared via the www.byetta.com website. I would now like to move and share some key points that I would reiterate and that will be included in the Dear Healthcare Professional letter that includes the following. Since market introduction in June 2005 to July 2007, over 700,000 have been treated with BYETTA. The cumulative spontaneous reporting rate for pancreatitis over this period is 0.020 events for 1,000 patient years of exposure. Resolution of pancreatitis was observed with supportive treatment and suspension of suspect medications including BYETTA. Among the reported cases of pancreatitis, a significant proportion of patients had at least one independent risk factor for pancreatitis. For spontaneous post marketing reports received since market introduction in June 2005 through July 2007, the time to onset a pancreatitis after initiation of treatment with BYETTA has been variable, ranging from one day to over one year. There was no evidence of pancreatitis in the pre-clinical toxicology studies. The incidence of pancreatitis observed during clinical development of BYETTA was lower for exenatide treated subjects, six cases compared to placebo treated subjects 1 case. Those numbers translate to 1.7 events per 1000 subject years of patient exposure for exenatide treated subjects compared or contrasted with 3.0 events per 1000 subject years of placebo treatment. There are also has been one case in an insulin treated subject in a comparative group translating to an event rate of 2 events per 1000 subject years. An epidemiologic study that reviewed data from 2000 to 2005, showed a greater background incidence of acute pancreatitis in patients with Type II diabetes treated with oral anti-diabetic medications compared to an age and sex matched non-diabetic cohort. While casualty cannot be firmly established and association is suspected to better understand the relationship if any between the use of BYETTA and reports of acute pancreatitis. Amylin and Lilly will continue to carefully monitor such events through ongoing surveillance and analysis in addition to continuing ongoing epidemiologic investigations. Now I would like to turn to the exciting research and development milestones we anticipate before the end of the year. Our most important development program, exenatide LAR, is a collaboration, with our partners Lilly and Alkermes to bring to market an important new medicine for the treatment of patients of Type II diabetes. We remain on track to report results from the ongoing long-term clinical study of exenatide LAR later this quarter. We also remain on track to finalize the commercial manufacturing process for exenatide LAR in the second half of 2008 in our manufacturing facility in Ohio. I would also like to remind you about the ongoing clinical studies in our obesity program. As many of you know we have taken a unique approach to the development of therapies for obesity, referred to as the INTO Strategy or Integrated Neurohormonal Therapies for Obesity. We're assessing three molecular franchises, Amylin, PYY 3-36, and Leptin, and are evaluating several combinations of these, and existing obesity agents in clinical studies. As a reminder, based on pre-clinical data in animals, there is a potential to produce double-digit weight-loss, expressed as a percentage of bodily weight using multiple therapies. The largest of these on going studies is a combination of Pramlintide, which is the Amylin analog that is the active ingredient in SYMLIN, plus Leptin, a hormone secreted by fat cells. This proof of concept study will attempt to replicate the synergy of Pramlintide and Leptin on weight loss, previously observed in pre-clinical studies. We expect results from this important study later this quarter. We're also continuing two Phase 1 programs, one focused on our second generation Amylin Mimetic, optimized for weight loss, and a second study, looking at the safety and tolerability of a combination of Pramlintide and PYY 3-36. Lastly, we have a combination study on going with Pramlintide and the approved oral obesity agents, Phentermine and Sibutramine. This Phase 2B study is designed to replicate pre-clinical data showing the additive effects of these combinations on weight loss. We anticipate data from this study before the end of this year as well. And now I would like to pass you back to Dan to conclude the call.
Dan Bradbury: Thanks Orville. We're looking forward to sharing the results of those important programs later this year. I'll add just a few more updates before we close. Beginning later this week we will be attending the North American Association for the Study of Obesity Meeting where we will have eight data presentations outlining recent clinical and pre-clinical findings. We will also provide an educational grant to support a medical education symposium. For a list of our presentations please visit our website at www.amylin.com. As many of you know we look forward to reviewing more on exenatide LAR and our obesity strategy and other research programs at our R&D Day in New York on November, 28th. Please check our website for additional details on the event. We have also made some important management additions during the third quarter. Mary Bauman, has joined us as Vice President of New Product Commercialization. Mary has previously held leadership roles in marketing and sales at Bayer Corporation. As a registered dietician who brings clinical, [his] clinical training included work at Boston's Joslin Diabetes Center. She brings her passion for an understanding of diabetes and obesity to her new role at Amylin. Kay Cox has joined us as Vice President of Government Affairs and will lead our Washington DC office. Kay joins us from Ameripath where she most recently served as Vice President of Government Relations and Communications and represented Ameripath at the Federal and State levels. Harry Leonard has joined us as Vice President and Chief Intellectual Property Counsel. Harry brings 17 years of healthcare industry experience. He was most recently general counselor at [Snowmix] and has expertise in mergers and acquisitions, corporate securities, intellectual property and litigation. So to summarize, the third quarter of 2007 has been another quarter of consistently strong execution here at Amylin. We have seen sustained growth and adoption of SYMLIN and BYETTA and we remain confident in our opportunity for further growth the rest of the year. Our most important development program exenatide LAR remains on track and we have made significant progress towards our Ohio manufacturing facility. We have a strong pipeline program with several key obesity trials reporting results before the end of the year. We also have a strong balance sheet and a team in placed to enable us to execute our plans. With that I will conclude the former portion of today's call and turn things back over to the operator for your questions. Thank you.
Operator: (Operator Instructions). Your first question comes from the line of Meg Malloy with Goldman Sachs. Please proceed.
Meg Malloy - Goldman Sachs: Thanks very much and if I may ask two questions. One question that has come up a lot since the new precaution in the label -- and I appreciate the overview that you gave on pancreatitis, but one question that has come up is, does increased focus on that side-effect change or potentially change the safety requirements for the LAR studies? Maybe we will just open up with that one if you can?
Daniel Bradbury: Sure. Hi, Meg.
Meg Malloy - Goldman Sachs: Hi, Dan.
Daniel Bradbury: I will ask Orville to answer that question.
Orville Kolterman: Thanks for the question Meg. We don't think that it does. The safety evaluation of the Exenatide LAR will leverage across the entire safety database through the exenatide molecule in to the present time. In all of our clinical studies as of today, we have not seen reports of pancreatitis in any of the clinical studies or any of the long-term animal studies that have been done with the Exenatide LAR.
Meg Malloy - Goldman Sachs: I guessed, if there was an association and somebody had gotten a weekly dose, in one shot is there recourse?
Orville Kolterman: See in terms of recourse…
Meg Malloy - Goldman Sachs: I mean, how would you handle it? Let's say occasionally?
Orville Kolterman: So, from a clinical perspective the approach would be the same as with any case of pancreatitis, where you would stop the administration of all potentially offending agents including Exenatide LAR and provide the patient with both supportive measures and other therapies that would be appropriate. The concern that you are getting at is the fact that Exenatide would continue to be in the circulation. As I tried to emphasize in the prepared comments neither ourselves, the scientist here at Amylin and at Lilly, nor our outside experts that we have consulted with and at length, see evidence that there is a causal relationship between Exenatide and the pancreatitis. So, we don't think that there is an increased concern there.
Meg Malloy - Goldman Sachs: Okay. Thanks very much. And I guess just on the BYETTA growth trajectory, I was wondering what you would sort of say is the key, and I know its a multifactorial thing. But, if there was one thing that you could point to as sort of a key accomplishment to really change the practiced patterns, what would it be?
Daniel Bradbury: Well, Meg, I would love to say that there is one key event that…
Meg Malloy - Goldman Sachs: Not event, but…
Daniel Bradbury: Or activity that we would undertake that would do that, I just don't think that's the case. It's a very dynamic market place and there are multiple factors that affect physician's prescribing habits. So, I don't think we can look at it there is a single cause and effect. As I tried to indicate in my comments, what we have done is we have been doing very precise analysis, looking at all of the various different tactics that we are undertaking, and we have adjusted all of them in various ways. So, for instance we talked about on the second quarter that we have enhanced our messaging. We have also been spending significant amount of time with our sales force with regards to looking at execution against that positioning. We've also continued our medical education efforts. We've optimized our sampling program, and we've also continued our efforts with regards to reimbursement. Also of note, the pilot consumer education program has only just initiated that didn't affect our third quarter in any way shape or form, and we will be looking to see how that does affect overall growth rates in the fourth quarter.
Meg Malloy - Goldman Sachs: Thanks Dan. I will get back in queue.
Daniel Bradbury : Okay. Thanks Meg.
Operator: Your next question comes from the line of Steve Harr with Morgan Stanley. Please proceed.
Steve Harr - Morgan Stanley: Yeah, thanks. Orville, I just want to kind of expand little bit on Meg's question. There has been some consternation in the marketplace about the requirements in Phase III or for another trial beyond the 300-patient LAR trial. So, what assurances can you give us? Or maybe more specifically, what type of information can you give us that would maybe require another study?
Daniel Bradbury: Hi, Steve, it's Dan here. I will take that question if it's okay. To say that we have received from the FDA guidance with regards to our regulatory strategy, we have that guidance in writing from them with regards to their requirements from clinical study standpoint for the submission. That has not changed since we received that guidance. And it has not changed also as a result of any ongoing conversations that we've had with the agency during the times that we've provided periodic safety updates. So, at this time, Steve, we still are confident that our regulatory strategy is adequate and for our submission.
Steve Harr - Morgan Stanley: Great. And then how we get to [submit] the information? Was there a planned press release between the three companies or how you are just thinking about that?
Daniel Bradbury: Yeah. I think we are definitely thinking of a combined press release between the three companies.
Steve Harr - Morgan Stanley: Okay.
Daniel Bradbury: Yeah.
Steve Harr - Morgan Stanley: Very good.
Daniel Bradbury: Very good, Steve.
Operator: Your next question comes from the lines of Salveen Kochnover with Jefferies & Company. Please proceed.
Salveen Kochnover - Jefferies & Company: Hi. Thank you for taking my question. Has the Data Safety Monitoring Board been specifically looking for acute pancreatitis in the Phase III LAR study?
Daniel Bradbury: Hi Sal, it's Dan here. We don't have a Data Safety Monitoring Board. We are continuing to monitor all adverse events in our late-staged studies with regards to LAR, and just to say that's just part of our routine clinical monitoring that we would do for any studies. I don't know Orville if you want to add to that?
Orville Kolterman: Okay. Well, to refine that just a bit, early on in the observation of pancreatitis cases one of the things that we did as part of the diligent follow-up and evaluation of these cases was to clear pancreatitis as a targeted surveillance event, which in regulatory parlance what that translates into is that pancreatitis is a case that is flagged to all of the investigators. And any potential case of pancreatitis within the clinical trail is, the investigators are required to report it to us in the timeframe usually done for severe adverse events, so that we are absolutely sure that we are aware of what's going on in the clinic with regard to this. And as I indicated in response to Meg's question. We have not had reports of pancreatitis in any of the clinical studies involving LAR, either in the un-blinded study. There just haven't been any cases in the entire study, so that means that there have no cases on patients receiving LAR.
Salveen Kochnover - Jefferies & Company: Great. And what are you hearing from physicians in the short time since the FDA notification went out -- both trial, docs, physicians prescribing the drug in BYETTA users if anything?
Daniel Bradbury: So, Salveen we've had some enquiries from physicians asking for clarification and we provided that to them. We have been on 1800 number and we also have sales representatives and field representative who are now able to provide background to physicians to questions that they might have.
Salveen Kochnover - Jefferies & Company: Great. And one last question. In the third quarter, could you comment maybe on wholesale inventory levels and whether there was any discounting occurring on BYETTA?
Daniel Bradbury: Yes, absolutely Salveen. Maybe, Mark, you would like to take that question?
Mark Foletta: Yeah. Hi Salveen. We believe that the wholesale inventory is based upon on our information from the three major wholesalers that we ship to where flat quarter-to-quarter. You may recall last quarter, we talked about some slight de-stocking of few days possibly, and we believe that they really stayed at that level into the third quarter. And of course, with respect to your second question about discounting, we continue to discount. We continue to drive access, but we don't think you should think about that being a significant change from quarter-to-quarter as you would think about the capture rate, if you will, from the script data into the revenue.
Salveen Kochnover - Jefferies & Company: Great. Thank you
Daniel Bradbury: Thank you.
Operator: Your next question comes from the line of Matt Osborne with Lazard. Please proceed.
Matt Osborne - Lazard: Hi and thank you for taking the question. Could you remind us what percent I guess coming off of the patients who are receiving BYETTA now, what percent perhaps are receiving vouchers versus free samples versus trade prescriptions?
Orville Kolterman: Hi, Matt. We actually had never provided that information in that kind of granularity with regards to vouchers and samples and just to say that we -- that is only one small part of our overall marketing mix going forward.
Matt Osborne - Lazard: Okay. One follow-up question. Can you remind us the rights if at all that are shared with Lilly and their GLP-1 analog that is in Phase 1 development?
Daniel Bradbury: Sure yes so just to say that the contract that we have with Lilly did anticipate that both companies would potentially develop follow-on programs. It depends on the timing of certain data at certain stages of development whether or not there is an automatic right for both companies to work together. But of course one other thing I would always say to you is that as two companies that are working together in this space we always have the opportunity to consider that option anyhow.
Matt Osborne - Lazard: Great. Thank you, Dan.
Daniel Bradbury: Thank you very much, Matt.
Operator: Your next question comes from the line of Mike King with Rodman & Renshaw. Please proceed.
Mike King - Rodman & Renshaw: Hi guys thanks for taking my question. I had a couple of brief ones. Dan I was wondering if you could comment on whether or not investors should look at this ramp in BYETTA over the past several quarters as a proxy for LAR and if not why not?
Daniel Bradbury: You know that is great question Mike thanks for it. Just to say I really don't think you can. Firstly we don't know the final product profile of Exenatide LAR. We obviously, hopefully have a greater understanding of that later this quarter, when we see the results of the clinical study. But I think at this point it's really would be too speculative to try and relate it to the existing BYETTA product in our ramp. I mean, at the end of the day here, it's also to say the market is dynamic is probably an understatement. And of course, one of the things, we would looking at there is same, what's the market going to be in the future. And I think in spite of the fact that we have polished our crystal bowls in a very, very highly, it's very difficult for all of us to see where the market is going to be in the long-term future.
Mike King - Rodman & Renshaw: Okay. And then, I was just wondering is there any more specific information that you can provide us with on the facility in Ohio, just in terms of what's going on there now, any clue as to or any insights you can give us?
Daniel Bradbury: Sure, Mike, I would love to provide to some clues. Yes, I mean just to say, that the facility is actually -- the buildup is going extremely well. And that one other thing I am most pleased about is the quality and the execution, most of the people that we have been able to engage and employ in Ohio. We have over 120 people in place there. We have our full management team now in place and the facility is now able to begin some of the process development work that we need to complete in that facility to meet our time line of finalizing the commercial process by the second half of next year.
Mike King - Rodman & Renshaw: Okay. And will we get any sort of quarterly update on progress there?
Daniel Bradbury: Yeah, I think we’ll continue to provide, if you like the macro guidelines with regards to how things are going. I think that if we start getting into two specifics it's really not terribly helpful because obviously we work on a proprietary manufacturing process. But just to say that things are moving well there and we continue to be confident of meeting our guided timeline.
Mike King - Rodman & Renshaw: Okay, great. And then I just had a quick bookkeeping question for Mark in terms of the split on the options expense between R&D and SG&A do you have a breakdown?
Mark Foletta: Yes, Mike, its $15 million. Let me get that I know I have that in my materials. And it was $9.1 million to SG&A, $6.2 million to R&D, $15.3 million total for the quarter. You need year-to-date numbers as well?
Mike King - Rodman & Renshaw: No, I have looked at them thanks. Thanks very much.
Daniel Bradbury: Thanks Mike.
Operator: Your next question comes from the line of Thomas Wie with Piper Jaffray. Please proceed.
Thomas Wie - Piper Jaffray: Hi, thanks. I had a couple of questions about the old Phase 2 data for LAR. I just wanted to get a sense as you look at all the variability in the PK levels for BYETTA. Where you surprised that all that you did get 85% of patients below at 7% A1C does that make sense when you looked at the variability there and in those levels?
Daniel Bradbury: So, hi, Thomas, yes it’s Dan here. I mean just to say that no, not really. So I should say that the doses that were chosen that were in the Phase 2 of Exenatide LAR study were chosen on the basis of some very comprehensive PK/PD modeling so pharmacokinetic and pharmacodynamic modeling. We had a very good understanding of the dose response from a PK standpoint from the earlier single dose studies and we used those single dose PK response curves to predict what would be the drug level for multiple dosing of the product. We knew from the BYETTA program of what the blood levels would be of exenatide that would be required for an effect on blood glucose control, and we knew also of course with BYETTA BID that the effect of PK on the eventual outcome with regards to glucose lowering. So therefore, it is fair to say that we were fairly confident of predicting a greater response with regards to glucose control. Obviously, the exact glucose control number we didn't predict, but we were fairly confident based on what we knew from the PK profile from the single-dose studies, when going into the Phase 2 study.
Thomas Wie - Piper Jaffray: And did the final data ending and actually exceed what you would have predicted from this PK database married to whatever glycemic outcomes there are?
Daniel Bradbury: I don't think we ever did, if you like exact calculation of what would be an expected -- so it's tough to argue what would be exceeding, but just to say that it was consistent with our expectation in terms of the greater response in terms of glucose control.
Thomas Wie - Piper Jaffray: And then just a second question on the curve coming out of the 15-week follow-up period, it does say in the poster that there were efficacy measures collected for the entire 27 weeks. Can you remind us on what the A1C numbers look like on extended follow-up and how long do patients actually those therapeutic levels of BYETTA for, after they have stopped?
Daniel Bradbury: Well, certainly the first part of that question I can answer, the second part, I would have to go back and refer myself to some of the data. But the first part of that question is certainly, patients continue to have an effect on blood glucose control after discontinuation of therapy which is as you would expect because they have elevated levels of exenatide. However, consistent with the reduction in those exenatide levels over time, you saw a diminution in terms of the effect on blood glucose control. And patients eventually returned back to their baseline upon discontinuation of therapies.
Thomas Wie - Piper Jaffray: Okay. Thank you.
Daniel Bradbury: Yeah. Your second question, I am afraid, I actually just don't know the answer here and don't know Orville whether you do. No. Okay. Sorry, Thomas.
Thomas Wie - Piper Jaffray: Thanks.
Operator: Your next question comes from the line of Mark Schoenebaum with Bear Stearns. Please proceed.
Mark Schoenebaum - Bear Stearns: Hi. My questions are going to be a lot easier than Thomas's, I promise.
Daniel Bradbury: Thank you, Mark, I would appreciate it.
Mark Schoenebaum - Bear Stearns: But, I just want to make sure this incidence pancreatitis 0.2 per 1,000 patient years. I want to confirm, number one, that's actually going to be in the Dear Doctor letter, that incidence. It is?
Daniel Bradbury: It's an event, right, Mark. Yeah.
Mark Schoenebaum - Bear Stearns: Okay. I am not very good at math, but if for example the FDA wanted to explore this in the LAR trial, is my math roughly correct that you need at least 5,000 patient-trial to prove or disprove a point a 0.2 out of 1,000 patient years incidence? And is the trial like that is doable?
Daniel Bradbury: Well, Mark we appreciate your modesty with regards to your mathematical skills. But, just to say that actually we calculated that to do a study we would probably require over 10,000 patients in a study.
Mark Schoenebaum - Bear Stearns: Okay. So, maybe you can walk me through that for I didn't carry the one or something. So, okay.
Daniel Bradbury: But, in terms of your general magnitude that you are looking at, you are talking of 1,000 of patients in studies, yeah absolutely.
Mark Schoenebaum - Bear Stearns: So, it's really something that would need to be doing on a post-marketing basis, difficult to assess respectively.
Daniel Bradbury: Well, as Orville indicated in our ongoing study and in studies that we have completed to date, we haven't had any events of pancreatitis reported to date.
Mark Schoenebaum - Bear Stearns: Okay.
Daniel Bradbury: So, absolutely it would be difficult to do part of a clinical program. And indeed as we saw in the entire BYETTA program, I believe there was just six cases on BYETTA with an event rate of 1.7, which is significantly higher than what we saw and now see in post-marketing. And of course, that was lower than what was the placebo, right, which was 3.
Mark Schoenebaum - Bear Stearns: Okay. And what is the background rate expressed in over 1,000 patient years?
Daniel Bradbury: In literature it's reported in a non-diabetic population as an event rate of 0.17. In the population studies that we've looked at when we looked at the United Healthcare dataset, what we found in that dataset is there is a three to four "greater incidence" of acute pancreatitis with Type 2 diabetes in that dataset. And so, we you are looking at significantly greater incidences and event rates associated with Type 2 diabetes than we are currently seeing spontaneously reported with BYETTA.
Mark Schoenebaum - Bear Stearns: Okay. Maybe just one more simple one, on the last call I asked to guys, if it was reasonable to think that you could replicate the Phase II data in the Phase II, III data for LAR. Anyway it is a pretty provocative comment. I'd just be interested in your updated thoughts on the reproducibility of the A1C reduction in the Phase II looking at the Phase II, III.
Daniel Bradbury: Yeah. I mean I would just say we can't really comment on the ongoing study at the moment. But, just to say that our expectations for the study haven't changed.
Mark Schoenebaum - Bear Stearns: Thanks. I appreciate it.
Daniel Bradbury: Thanks, Mark.
Operator: Your next question from the line of Jim Reddoch with FBR. Please proceed.
Sumesh Sood - FBR: Hi, yeah. This is Sumesh for Jim. Thanks for taking the question. I actually have two quick questions. My first one is, is the FDA in general doing a suite of post-marketing data, and especially with the kind of the updates for the Januvia label that was announced today? And my second question actually has to do with the bioavailability of LAR relative to exenatide. And initially the patients are given the 2 milligram dose for LAR. But, when you look at serum concentrations of exenatide, is there any time where serum concentration of exenatide is with LAR is higher than BYETTA or are they relatively same or is it lower? Thanks
Daniel Bradbury: Okay, Sumesh. I'm going to ask Orville to comment with regards to what's going on with the FDA. He is closer to what's happening there on a day-to-day basis than I am.
Orville Kolterman: I think it's safe to say that there is just a heightened level of awareness about safety in the post-marketing space in general for all drugs. And I think what may have been referring to is that the agency has an initiative underway now where they are doing a detailed evaluation of the post-marketing surveillance data for drugs that have been approved, new chemical entities that have been approved within the last 18 to 24 months. So, your insights are spot on. And the other comment that I would make in terms of dealing with the agency, it's just really clear that we are in an era where safety is king. Issue of safety or concerns are ruling the day and things related to efficacy are receiving much lower priority in terms of rankings right now.
Daniel Bradbury: And your second question was relating to, and I am just sorry I am blanking out right now. What was that relating to?
Sumesh Sood - FBR: Just in general like when you look at the bioavailability of LAR the serum concentrations of exenatide with LAR versus BYETTA, is there -- there has been some concern that because LAR is a higher dose you may see higher incidence of pancreatitis?
Daniel Bradbury: Yes, I know. Actually that had be a very forward kind of way of thinking about things. So when you look at the actual blood levels that you get with exenatide with LAR there are actually the peak blood levels that are significantly below the peak blood levels that you can get with BYETTA. In fact that's part of the benefit of the product is that you have more consistent long-term flatter from PK. The other key thing that I think is important to remember with exenatide LAR, the initial dosing of exenatide LAR, I mean each dose is essentially a sub therapeutic dose whereas with BYETTA every dose is a therapeutic dose. So the blood level that you achieve per dose that you get with exenatide LAR is significantly below what you would get from BYETTA. And so as a consequence of that you actually don't have the same kind of levels of concern upon immediate dosing that you would have with BYETTA, so hopefully that gives you some clarification.
Sumesh Sood - FBR: Absolutely. Thank you.
Daniel Bradbury: The other thing, I mean I think you need to be really clear here is that once again you will try and make some assumption that there is some kind of course or relationship between blood levels of exenatide and potential adverse event of pancreatitis.
Sumesh Sood - FBR: Right, absolutely.
Daniel Bradbury: And I think it's pretty clear that that isn't the case, at the moment we don't have any basis for that.
Sumesh Sood - FBR: Right. I am just -- I am making that assumption absolutely, yes.
Operator: Your next question comes from the line of George Farmer with Wachovia Securities. Please proceed.
George Farmer - Wachovia Securities: Hi, good afternoon. Thanks for taking my question. Overall, Dan can you comment a little bit on the, I think, it was 30 patients that FDA mentioned had pancreatitis, the time to onset of pancreatitis, what would you mention that was quite variable but was there clustering either at the beginning or the end of the therapy?
Daniel Bradbury: Hi, George. Orville would you want take that one.
Orville Kolterman: George there is actually, when we look at the entire data sets that's available there is -- it's apparent there is no clustering, at the front-end or the back-end. In fact the pattern that you see in terms of the time to onset of the pancreatitis is most consistent, with this being related to the back ground rate, pancreatitis that just occurs more frequently in Phase 2 Type II diabetes.
George Farmer - Wachovia Securities: And are you going to have include, the mention of pancreatitis in your interactive consumer campaign that you mentioned on the beginning of the call?
Orville Kolterman: Well the current DTC advertising that is running, presents both the benefits and the risks associated with BYETTA and based on our discussions, with FDA regarding the label change that we have talked about today, we have been sure that they view the content of those pieces that are in the marketplace at the present time, presenting the safety data in an adequate updated manner.
George Farmer - Wachovia Securities: Okay. And then maybe I will just lob in a similar question on that end.
Orville Kolterman: Thanks, George.
George Farmer - Wachovia Securities: Yeah, sure thing. Dan, the issues there with the non approval around use of SYMLIN with basal insulin kind of resonates the issues that you guys faced in 2003, is there anything on here that suggests the agency might be cooling off to SYMLIN or are there -- there are hurdles to [tire] in your view?
Daniel Bradbury: I think George, what we are really facing here is just a change of opinion with regards to what would be the base of approval and a reversion back to what is the traditional basis of approval in diabetes therapies. The end point, though, we had agreed with the FDA that comes to end point was a novel endpoint and was not the basis for approval of any other diabetes therapy to-date. [By having inside], it was agreed to by the agency. Now that -- so where we stand today is that the agency has reverted back to its longstanding position but the basis for approval the sort of the end point if you like to forward a basis of approval for diabetes drugs is reduction in blood glucoses measured by A1C. And unfortunately the study was designed not to demonstrate that because it was only a 16-week study.
George Farmer - Wachovia Securities: Okay. Great. Thanks very much.
Daniel Bradbury: Thanks, George.
Alice Izzo: Gentlemen that, ends the Q&A session for today, I will now turn the call over to Daniel Bradbury for final remarks.
Daniel Bradbury: Just a few final remarks to say thank you to everybody for being on the call today. We appreciate your time and your interest in our company and I'm pleased to report once again another strong quarter of consistently strong execution here at Amylin. Thank you.
Operator: Ladies and gentlemen, Thank you for your participation today's conference. You may now all disconnect. Have a great day.